Operator: Good day and welcome to the Pyxis Tankers Conference Call to discuss the Financial Results for the Third Quarter 2020. As a reminder, today's call is being recorded. Additionally, a live webcast of today's conference call and an accompanying presentation is available on Pyxis Tankers website, which is www.pyxistankers.com. Hosting the call today is Mr. Eddie Valentis, Chairman and Chief Executive Officer of Pyxis Tankers; and Mr. Henry Williams, Chief Financial Officer. I would like to now introduce Pyxis Tankers' Chief Executive Officer, Mr. Eddie Valentis. Please go ahead sir.
Eddie Valentis: Good afternoon, everyone, and thank you for joining our call for the three months results ended September 30, 2020. First, I hope you, your family, friends and colleagues are managing for the best during this pandemic. We are  We are encouraged by the major announcement earlier this week about the results of a highly effective vaccine, which would be a blessing for all. Secondly, and before starting, please let me draw your attention to some important legal notifications on Slide 2 that we recommend you read, including our presentation today, which will include forward-looking statements. Thank you. Turning to Slide 3. Our recent results reflected the impact of the sale earlier this year of our oldest vessel, the non-eco 2006-built Pyxis Delta within the context of an ongoing challenging chartering environment as well as significant operating and financial events. In Q3, we generated time charter equivalent revenues of $4.4 million, about $1.8 million lower than the same period in 2019, as we had fewer operating days, primarily considering the absence of one vessel and lower rates. We had a net loss of $1.9 million or $0.09 per share for the three months ended September 30, 2020, both higher than the same period in the prior year. Our adjusted EBITDA for Q3 2020 declined significantly to $0.6 million. The product tanker chartering environment, during the third quarter of 2020, continued to experience a downward trend in charter rates, especially in the spot market. However, our operating results for Q3 2020 primarily reflected the stability and contribution from the short-term time charters for our medium range, MR product tankers. The average daily time charter equivalent for our MR was $14,565 during Q3, slightly lower than the prior quarter. As of November 11, 68% of our available days in the fourth quarter of 2020 are booked for our MR at an average growth rate of $14,680. At this point in the year, we usually see an improvement in charter rates due to seasonal increased demand for certain cargoes such as heating fuel. Unfortunately, due to the resurgence of COVID-19 and the subsequent lockdowns in many Western countries, market has remained undirectional. Consequently, we believe that difficult chartering conditions may persist in the short term. However, we have stayed positive on the long-term outlook for the product tanker sector, especially if the availability of an effective vaccine is on the horizon. Please turn to Slide 4 for information on our fleet and current employment activities. Early in Q3, the Pyxis Epsilon completed her first special survey, which included the installation of the U.S. Coast Guard-approved Ballast Water Treatment System. More recently, the Northsea Alpha and Northsea Beta completed the second special surveys and returned to the spot market. These drydockings were concluded on time and on budget. We spent $1.6 million in the aggregate for the special surveys of these specific vessels. Fortunately, we should avoid major vessel expenditures until 2023 when the Pyxis Theta is scheduled to undergo a second survey. Following up on my earlier comments about the product tanker market, please turn to Slide 6 for an update. COVID-19 has in fact dramatically reduced personal and commercial activities worldwide, starting early this past spring and resulted in a substantial decline in demand for petroleum products, especially transportation fuels, such as diesel, gasoline and jets fuel. Despite all the efforts to improve public safety for the prevention of COVID-19, a resurgence of the virus has recently occurred in many Western countries. Government and Central Bank Stimulus programs reportedly now exceed $19 trillion, but the path to global economic recovery may be further delayed. Excess inventories of refined products are declining, but lower demand for seaborne cargoes and the buildup of tonnage in the open market continued to negatively impact chartering activity. Spot rates have fallen significantly with little inquiry for time charters. For example, the indicative 1-year time charter rate for an eco-efficient MR has declined less severely to approximate $14,200 per day, which is slightly below the 10-year average. Turning to Slide 7, the road to global economic recovery should be bumpy, even with the possible future availability of an effective vaccine. In October, the IMF revised its forecast for global economic growth in 2021 to a robust 5.2%. A return scenario of solid consumption, combined with lower inventories of refined petroleum products as well as modest ton-mile expansion from the changing refinery landscape should provide added support to the product tanker sector. Moving to Slide 8, the supply outlook for MR2s remained positive. The order book continues to decline and recently, a leading industry source estimated the order book at 6.1% out of a worldwide fleet of over 1,760 vessels. While a reasonable number of MRs are scheduled for delivery through 2021, new ordering activity continues to be historically low. Ongoing developments in ship and engine designs, expanding environmental regulations, a broader selection of fuels and the lingering debate surrounding scrubbers complicate the decision-making process for new ordering by owners. It is expected that demolitions should accelerate at 6.2% of the global fleet or 110 MRs are 20 years or older, especially in light of the poor market conditions and the financial headwinds facing older less efficient vessels due to new environmental regulations. Lastly, the availability of cost-effective capital continues to be scarce, further limiting new orders. As a result, we believe annual net fleet growth for MRs should be around 2.5% this year and next. Turning to Slide 9. The recent decline in charter rates continue to negatively affect MR2 asset prices, which are below 10-year averages. With little actual S&P activity, particularly for modern eco MRs, these lower valuations may prove to be an over reaction, but at the same time, could selectively lead to attractive opportunities to acquire secondhand tankers at lower prices and capture a potential upward movement of charter rates. At this point, I would like to turn the call over to Henry Williams, our Chief Financial Officer, who will discuss our financial results in greater detail.
Henry Williams: Thanks, Eddie. Let's start with our unaudited results for the three months ended September 30, 2020, on Slide 11. Our time charter equivalent revenues for Q3 '20, which we define as revenues net minus voyage-related costs and commissions, were $4.4 million, a decrease of 29% from the same period in 2019 due to fewer operating days of our fleet, primarily reflecting the sale of the older MR earlier this year. In Q3 '20, our daily TCE rate fleet-wide was almost $11,800, a 5% decline from the comparable period in 2019. The small tankers continue to negatively affect our results. Turning to Slide 12. We incurred a net loss of $1.9 million for the three months ended September 30, 2020, or $0.09 basic and diluted loss per share based on 21.6 million weighted average shares outstanding compared to a lower net loss of $800,000 or $0.04 basic and diluted loss per share on 400,000 fewer shares. The absence of the 1 MR resulted in lower revenue, which flowed through to the bottom line. Not surprising, adjusted EBITDA declined significantly to $600,000 in the most recent quarter. Please turn to Slide 13, which reviews our recent fleet data by vessel type. Given the size of our fleet, changes in these metrics related to a single vessel and one reporting period can have disproportionate effects on the total fleet operating results. For example, we no longer hold the older standard MR. Focusing on the periods ended September 30, 2020, we would like to point out 4 key takeaways. For the most recent quarter, the TCE for our 2 eco-efficient and 1 Eco-MRs averaged over $14,500 per day. During Q3 2020, operating expenses for our eco-efficient MRs were temporarily higher, reflecting the dry-docking of the Pyxis Epsilon, but we expect this to normalize in Q4. Across the board, our Q3 2020 results for our small tankers were disappointing. And overall, the 9-month period show relative consistency, fleet-wide daily TCE and vessel OpEx versus 2019. Turning to Slide 14. As you know, we believe it's important to review total daily operational cost to run and manage a public tanker company, including overhead. These costs varied by a fleet composition, vessel delivery or removal, company operating structure and management. We define total daily operational costs as vessel operating expenses, technical and commercial management fees plus G&A expenses. We believe that the total daily operational cost of our modern eco-efficient MR2 tankers continue to be very competitive compared to our public peers despite our smaller size. Please turn to Slide 15 to review our capitalization as of September 30, 2020. At quarter close, our consolidated leverage ratio was on par with some publicly traded tanker companies as net funded debt stood at less than 64% of total capitalization. The net proceeds of the $4.3 million public offering has improved our balance sheet and liquidity, and on an adjusted basis, net leverage stood at 56%. No balloon payments are due for over two years. With that, I'd like to turn the call back over to Eddie to conclude our presentation.
Eddie Valentis: Thanks, Henry. We expect that the remainder of 2020 will continue to be challenging with lower chartering activity as a result of the delayed global economic recovery and the certain developments of the COVID-19 pandemic. We continue to have a positive long-term outlook, given the expected net vessel supply growth and the prospects for improving demand, especially in light of the beneficial economic effects of a vaccine potentially available starting as soon as year-end or early 2021. We appreciate your interest in Pyxis Tankers, and thank you for joining our call today. We look forward to reporting on future progress at Pyxis Tankers. Be safe. Be well.
Operator: That does conclude our conference for today. Thank you for participating. You may all disconnect.
Q - :